Operator: Thank you for joining the Sherwin-Williams Company’s review of the fourth quarter and full-year 2009 results and expectations for 2010. With us on today’s call are Chris Connor, Chairman and CEO; Sean Hennessy, Senior Vice President in Finance and CFO; John Ault, Vice President, Corporate Controller, and Bob Wells, Senior Vice President, Corporate Communications. This conference call is being webcast simultaneously in listen only mode by Vcall via the internet at www.sherwin.com. An archived replay of this webcast will be available at www.sherwin.com beginning approximately two hours after this conference call end and will be available until Monday, February 15, 2010 at 5 PM EST. This conference call will include certain forward-looking statements as defined under US Federal Securities Law with respect to sales, earnings and other matters. Any forward-looking statements speak only as of the date on which such statement is made and the company undertakes no obligation to update or revise any forward-looking statement, whether as a result of new information, future events or otherwise. A full declaration regarding forward-looking statements is provided in the company’s earnings release transmitted earlier this morning. After the review of our fourth quarter and full year results and 2010 expectations we will open this session to questions. I will now turn the call over to Bob Wells.
Robert Wells : Thank you. In order to allow more time for questions we have provided balance sheet items and other statistical data on our website at www.sherwin.com under Investor Relations 2009 year-end Press Release. Summarizing our overall company performance for the fourth quarter and full year 2009, consolidated sales for the fourth quarter decreased 5.9% to $1.6 billion due primarily to lower paint volume demand resulting from continued weak economic conditions in the US and abroad. For the full year sales declined 11.1% to $7.09 billion. Sales from acquisitions had no material effect on sales for the quarter or the year. Currency translation rate changes increased consolidated net sales 2% in the quarter and decreased consolidated net sales 1.3% in the year. Consolidated gross margin in the fourth quarter increased to 47.7% of sales from 46.2% in the fourth quarter of 2008. For the year, gross margin increased to 46% of sales from 43.8% in 2008. Selling, general and administrative expense in dollars decreased $14.8 million in the fourth quarter compared to fourth quarter last year but increased as a percent of sales to 38.7% from 37.3% in the same quarter last year. For the full year 2009, SG&A expense decreased $108.8 million but increased as a percent of sales to 35.7% from 33.1% in 2008. Tight expense management across all operating divisions did not fully offset the effect of the decline in sales on SG&A percentages for the quarter and the year. In the fourth quarter of 2009 asset impairment charges and a loss on dissolution of a foreign subsidiary reduced diluted net income per common share approximately $0.13 per share. Interest expense for the quarter decreased by $5.7 million to $9 million due primarily to a reduction in short-term interest rates. Interest and net investment income was down approximately $1 million in the quarter at $580,000. For the year interest expense decreased $25.7 million due to lower short-term borrowing rates and lower average borrowings. Interest and net investment income decreased $1.5 million in the year due to lower overall rates and lower average investments compared to 2008. Our effective income tax rate for the fourth quarter 2009 decreased to 19.5% from 36.6% in the fourth quarter of 2008 primarily due to the tax effect of the dissolution of a foreign subsidiary. For the year, our effective tax rate was 30% compared to 33.2% in 2008. Consolidated net income for the quarter increased by $15.1 million or 30.1% to $65.3 million from $50.2 million in the fourth quarter of 2008. For the year, net income decreased $41.1 million or 8.6%. Net income as a percent of sales increased to 4.1% in the fourth quarter this year from 3% in the fourth quarter last year. This increase was due primarily to year-over-year reductions in our fourth quarter effective tax rate and higher gross margins. For the year, net income as a percent of sales improved to 6.1% in 2009 from 6% in 2008 largely for the same reasons. Diluted net income per common share for fourth quarter 2009 was $0.58 per share including the $0.13 per share impairment charge compared to $0.42 per share in fourth quarter 2008 which included an $0.18 per share impairment charge. For the year, diluted net income per common share decreased 5.5% to $3.78 from $4.00 per share in 2008. Now I would like to review our performance by segment. Sales for our Paint Stores Group in fourth quarter 2009 decreased 11.4% to $920.2 million. For the year, net sales decreased 12.9% to $4.21 billion. For the quarter and year, decreased paint volume sales reflected weakness across most customer segments. Comparable store sales also decreased 11.4% in the quarter and 12.9% in the year. Regionally in the fourth quarter our Southwestern division led all divisions followed by Eastern Division, Midwestern Division and Southeastern Division. Sales by all four Paint Stores divisions declined in the fourth quarter and full year. Segment operating profit for the Paint Stores Group increased 5.9% to $119.9 million in the fourth quarter due primarily to reduced SG&A expense and lower impairment charges that more than offset the decline in sales. For full year, Paint Stores Group operating profit decreased 7.4% to $600.2 million due primarily to the effect of lower paint sales volumes. Segment operating profit for the fourth quarter increased to 13% of sales from 10.9% last year. Profit margin for the full year 2009 increased to 14.3% from 13.4% in 2008. The increase in profit margin for the quarter and the year was due primarily to higher gross margin and lower SG&A and impairment charges. Turning now to the Consumer Group, fourth quarter internal net sales decreased 2.2% to $240.1 million from $245.6 million in the fourth quarter last year. For the year, Consumer Group sales were down 3.7% to $1.23 billion from $1.27 billion in 2008. The sales declines were due primarily to weak end market demand at most of the group’s retail customers. Segment operating profit for the fourth quarter decreased $7.7 million primarily due to the effect of lower sales and manufacturing volume partially offset by a reduction in impairment charges in the quarter. Segment operating profit for the year increased 12.2% to $157.4 million due primarily to good expense control, reduced asset impairment charges and favorable freight and other distribution costs that were partially offset by lower fixed cost absorption from reduced manufacturing and distribution volumes. As a percent of net sales, Consumer Group’s operating profit in the fourth quarter decreased to 1.9% from 5% last year. For the year, operating margin improved to 12.8% from 11% in 2008. For our Global Finishes Group, net sales in the fourth quarter increased 5.5% to $437.1 million primarily as a result of favorable currency translation. Sales for the year decreased 11.4% to $1.65 billion due primarily to lower sales volume and unfavorable currency translation that were partially offset by acquisitions and selling price increases. Currency translation rate changes before acquisitions increased sales in US dollars by 7.8% in the quarter and reduced sales in US dollars by 4.8% in the year. Acquisitions increased the group’s sales in US dollars by 7/10 of a percent in the quarter and 1.5% in the year. Global Finishes Group segment operating profit in the fourth quarter decreased $16.9 million to a loss of $1.1 million due primarily to a $25 million of asset impairment charges and a loss on the dissolution of a foreign subsidiary. Segment operating profits for the full year decreased $87.2 million or 57.3% to $65 million primarily as a result of reduced sales volume, impairment charges and the loss on dissolution of a foreign subsidiary that were partially offset by lower SG&A expenses. A fourth quarter pre-tax loss of $21.9 million resulted from the dissolution of the European subsidiary. This loss combined with asset impairment charges taken in the fourth quarter totaled $25 million for the quarter and the year. This compares with no impairment charges in the fourth quarter 2008 and $800,000 for the full year 2008. Currency translation and acquisitions increased segment profit $3.9 million in the quarter and reduced segment profit $5.9 million for the year. As a percent of net sales, Global Finishes Group operating profit decreased to 3.9% for the year from 8.2% in 2008. I would now like to comment briefly on our balance sheet items. You will find more balance sheet information on our website under www.sherwin.com Investor Relations press releases. Our total debt on December 31, 2009 was $817.6 million including short-term borrowings of $22.7 million. The increase in long-term debt resulted from the issuance of $500 million in five-year bonds at 3.125%, the second lowest rate paid on five-year notes this year and the 14th lowest in history for an A rated company. In January we entered into a new three-year $500 million credit agreement to be used for general corporate purposes including to finance working capital requirements and to support commercial paper borrowings. This agreement includes a provision to increase the size of the facility subject to the discretion of each lender to participate in such increase up to an aggregate amount of $750 million. The new credit agreement replaces Sherwin-Williams’ $845 million five-year revolving credit facility which was scheduled to expire on July 20, 2010. Our cash balance at year-end 2009 was $69.3 million compared to $26.2 million in 2008. Capital expenditures were $27.8 million in the fourth quarter and $91.3 million for the year compared to $117.2 million for the year in 2008. Depreciation expense was $35.6 million in the quarter and $145.2 million for the year. Amortization expense was $6.9 million in the quarter and $25.7 million for the year. In 2010 we anticipate capital expenditures for the year will be in a range of $100-115 million. Depreciation will be about $147 million and amortization will be about $26 million. I will conclude this review with two brief comments on the status of our lead litigation. In California the state Supreme Court will decide whether it is permissible for cities and counties to retain contingency counsel to aid them in their suit against former manufacturers of lead pigment. Briefing has been completed. Oral arguments should not take place until at least the first quarter of 2010 and most likely not until the second quarter with a decision most likely coming in late 2010. The Gaines case, a single personal injury suit was [tied] to a jury in Jefferson County, Mississippi beginning in June 2009. The jury returned a verdict in favor of the plaintiff and the company has filed a Notice of Appeal with the Mississippi Supreme Court as we believe a number of significant errors were committed during the trial. Briefing has not yet begun and a decision is not expected until late 2010 or early 2011. That concludes my review of our results for fourth quarter and full-year 2009. I will turn the call over to Christopher Connor who will make some general comments and highlight our expectations for 2010. Chris?
Christopher Connor : Thanks Bob. Good morning everybody. Thanks for joining us today. It is hard to be satisfied with the past year when many of the metrics we use to measure our performance were backwards. The culture of our company is one of growth and continuous improvement and that doesn’t change simply because the economy is faltering. If there is a silver lining to this dark cloud it is that our results have showed steady improvement over the course of 2009. We ended on a relatively positive note in the fourth quarter. Our earnings per share, for example, in the first half of this year trailed the first half of 2008 by $0.42 per share. Second half earnings on the other hand this year were $0.17 ahead of last year. I think this positive trend is a function of two noteworthy factors. First, the hard work our people have done all year to manage expenses, improve margins, reduce working capital and minimize our effective tax rate. These efforts have made us a more efficient and profitable company. Second, the moderation in the rate of year-over-year sales declines we experienced in the second half and particularly the fourth quarter. Although we don’t believe our fourth quarter sales results signal a sustainable pickup in end market demand, they do suggest some of the market segments are approaching bottom. Throughout the year we made steady progress in streamlining our supply chain and managing gross margin and SG&A expense. These efforts combined with lower interest expense and a lower effective tax rate resulted in a 110 basis point improvement in fourth quarter net income as a percent of sales and a 10 basis point improvement in full-year net income as a percent of sales. Our cash flow also increased as a percent of sales. For the year we generated $859.2 million in net operating cash, slightly more than 12% of sales. This marks the fourth straight year of cash flow in excess of 10% of net sales. This strong cash flow performance was due in large part to the decrease in year-end working capital. Our working capital ratio improved to 10.7% of sales at year-end from 11.2% at the end of 2008. This has two important ramifications. First, the decrease in working capital requirements increased net operating cash by $136 million and secondly Sean will have to stop insisting that an 11% working capital ratio is optimal. Free cash flow for the year which is operating cash minus capital expenditures and dividends increased more than $9 million to an all-time record high of $603 million as we appropriately pared back our capital expenditures. In the fourth quarter we acquired 4.12 million shares of the company stock for treasury, bringing our full year total to 9 million shares for an investment of $530 million. At year-end we have a remaining authorization to acquire another 10.75 million shares. Over the past year we have returned nearly $165 million in cash to shareholders through quarterly dividends. 2009 marked our 31st consecutive year of increased dividends per share, a string we intend to continue. This year at our February meeting of the board of directors I will recommend approval of the dividend payout rate for 2010 that will keep our record of consecutive annual dividend increases intact. I base this recommendation on our strong operating cash performance and our commitment to returning cash to shareholders. In 2009 we continued to invest in our control distribution platform opening 53 stores in new markets because we believe new stores drive market penetration and share growth even in a down market. At the same time we consolidated an additional 45 redundant locations for a net increase of eight new stores for the year. Our paint store count in the US, Canada and the Caribbean now stands at 3,354 locations compared to 3,346 a year ago. Our plan for 2010 calls for net new store openings in a range of 20-30 locations. Our Global Group continues to appropriately manage our automotive and OEM product finishes branches, opening 18 new locations and closing 20 for a net reduction of two. We ended the year with 539 branches in operations compared to 541 one year ago. Across all of our divisions in 2009 we recruited 550 high caliber people into our respected management training program and we invested more than $100 million in research, development and commercialization of new product technologies. We are confident these investments will benefit the company in the near-term and deliver appropriate returns in the long-term. Looking ahead to 2010 the steep decline in coatings demand appears to be moderating in some market segments in the US and abroad and we are guardedly optimistic that will continue. However, there are still some end markets, most notably the commercial segment that are likely to continue to deteriorate for the better part of the coming year. Our exposure to these late cycle markets combined with the normal seasonal weakness in first quarter should result in our first quarter consolidated net sales being flat to down slightly compared to the first quarter of 2009. With sales of that level we estimate diluted net income per common share in the first quarter to be in a range of $0.30 to $0.40 per share compared to $0.32 per share earned in the first quarter of 2009. For the full year 2010 we expect net sales will increase in the low to mid single digits versus 2009. With annual sales at that level we estimated diluted net income per common share for 2010 will be in a range of $4.05 to $4.45 per share compared to the $3.78 per share earned in 2009. Again, I would like to thank all of you for joining us this morning and now the team will be happy to take your questions. 
Operator: (Operator Instructions) The first question comes from the line of PJ Juvekar – Citigroup Inc.
PJ Juvekar – Citigroup Inc.: You have said in the past the contractor business lagged the DIY business in the recession. That has certainly been true in 2009. As you get into the recovery do you expect this to converge in 2010 or maybe later? 
Christopher Connor : Obviously the contractors are much more affected by the new construction in the market both from a residential and non-residential and that has been a big lag on the stores business particularly. Obviously as those new construction markets rebound and approach a more normalized basis that should revert back to its normal process. 
PJ Juvekar – Citigroup Inc.: Do you think that will happen in 2010 or is it still going to be a slow process for contractors to come back? 
Christopher Connor : I think the guidance we are giving would indicate some of it will start to come back. The residential market, case in point, most of the data points we are seeing would indicate that new residential starts should be up this year. The residential re-paint market we think will continue to show some signs of life. That will be offset by the commercial market which we have commented we think will be in for some tough sledding in 2010. 
PJ Juvekar – Citigroup Inc.: Can you comment on what is happening to the sales trends in your stores in key states such as California, Florida and Vegas? 
Christopher Connor : I think Bob gave some direction relative to the performance of our regional. Of note, the Southeastern part of the United States continues to lag the other divisions as it is more impacted by some of the new construction environments. That would be true of California as well. I think we are anxious to see as this year unfolds and predicted rebound in new housing starts should help those segments and that is included in the guidance we are giving for a better year. 
Operator: The next question comes from the line of Jeff Zekauskas - J.P. Morgan. 
Jeff Zekauskas - J.P. Morgan: Your sales came in down six for the quarter and you were expecting down 8-12. What parts of your business performed better than you expected to lead to that above forecast results? 
Christopher Connor : Really all three segments had a little better quarter than we had given guidance on as indicated by a little better volumes in each of those segments as well as sales for the them as well. We also had a little bit of help from currency from our foreign operations. 
Jeff Zekauskas - J.P. Morgan: Next year in your forecast of low to mid single digit growth, is there a positive pricing variance in there? Is it neutral or is it negative? 
Sean Hennessy : Neutral to slightly positive. 
Jeff Zekauskas - J.P. Morgan: Your corporate expense in the first quarter bounces all around in that some years it is $40 million and some years it is $20 million. What is it in 2010 in the first quarter? 
Sean Hennessy : In the first quarter I don’t have that in front of me. You are talking about the first quarter of 2010? 
Jeff Zekauskas - J.P. Morgan: I am. 
Sean Hennessy : I will have to get back to you. I’m not sure we are really giving guidance by segment. I will look at that and maybe later on the call I will comment. 
Operator: The next question comes from the line of Amy Zhang - Goldman Sachs. 
Amy Zhang - Goldman Sachs : Your full year revenue guidance of low to mid single digit levels, can you just give us a little more color by segment primarily the paint stores and also consumer? In particular when should we expect the timing for meaningful top line growth? 
Christopher Connor : The 2010 sales guidance incorporates positive sales growth in all three segments. That would imply all three segments are expected to grow in the low to mid single digits. 
Amy Zhang - Goldman Sachs : For the growth for the paint store shouldn’t it be a little bit higher than the consumer channel? 
Christopher Connor : I don’t think that is included in the guidance. We have commented the commercial markets we have a significant share of are expected to struggle this year both from a new construction and maintenance standpoint. Time will tell whether stores business there has a second half rebound or not. We do expect the residential markets will lift and that will help drive some of the positive guidance we are giving for stores but we do think we have a headwind there that is going to impact that. 
Amy Zhang - Goldman Sachs : The volume trends across your consumer group in the fourth quarter looked a little bit lighter than what your peers reported last week. I am wondering why is that and have you seen any market share shift within the retail channel? 
Christopher Connor : I think the Consumer Group sales performance is fairly indicative of how they have been performing throughout the year. There is always timing issues in that business as various retailers make inventory adjustments at the end of the quarter. We have looked carefully at the architectural data from the federal government and other sources to get a sense of that Consumer Group performance this year. We think they held their own and perhaps gained a little bit of share given the retail partners they have done business with. We would agree the quarter was a little softer than it might have been but no concerns there. 
Amy Zhang - Goldman Sachs : Related to your pricing strategy across the paint stores, obviously since last summer you have adopted the [slow] strategy there. The decrease listed prices in the stores for the DIY customers. I am wondering have you seen any benefit on the volume side from that strategy? 
Christopher Connor : I think we have commented frequently on this point. There were a number of entry level products that were introduced to the store and a couple of rationalizations on the lower half of our good/better/best/finest strategy. No reduction in those prices and the higher end products we predominately sell to that channel. The impact of that has had very little to do both with volume or price erosion. 
Sean Hennessy : If I can comment back on Jeff’s question back on the first quarter, as we said the first quarter of 2009 our admin expense was $41 million. The prior year was $56 million. When you look at it we don’t think it will be dramatically different. It will be inside that range from the last two years. 
Operator: The next question comes from the line of Sergey Vasnetsov - Barclays Capital. 
Sergey Vasnetsov - Barclays Capital : I am not sure if you addressed the question of what is your pricing strategy for 2010? Typically early in the year you make your planning and [talk about] what you expect this year in light of the slight recovery and slight pressure on raw materials. 
Christopher Connor : I would be happy to. Why don’t I ask Bob to comment briefly on the raw materials impact as we see it today and then I will be happy to comment on our pricing thoughts. 
Robert Wells : Clearly over the year we saw upward pressure on the primary type of chemical inputs, crude oil and natural gas. The increase in those energy costs did have an adverse effect over the course of 2009 and early 2010 on latex, resins, solvents, plastic, those types of petrochemical based products. Assuming the energy costs remain constant at current levels we would expect the petrochemical based raw materials to stabilize at or slightly above the current levels. We are also seeing upward pressure on titanium dioxide largely driven by some capacity rationalization in the industry and we believe some of the titanium dioxide price increases taken in the industry have been successfully implemented in the market. Overall I think it is difficult to forecast going forward because of volatility in energy prices and petrochemical products. We believe the industry basket could be up in the mid single digits for 2010. That is our best view at this point. 
Christopher Connor : As you know, we have been very open and transparent with the street regarding the company’s pricing policies, practices and announcements. As a quick reminder, our thoughts are here that first and foremost when faced with increasing raw materials we tend to push back on the suppliers. Secondarily we look internally to see what kind of efficiencies we generate in order to absorb those. Finally we take them to the market in the form of a price increase and I think our history has been one of following that strategy and the courage and discipline to put pricing in when it needs to go in. We have also been very careful not to get out in front of our customers so we don’t prospectively announce price increases over calls like this. It is only after we have communicated with our customers. At this point in time given the more petrochemical based raw material increases, there have been some industrial coatings that have announced some pricing earlier in the year but broader core architectural product lines there has been no pricing announcements made at this point in time. 
Operator: The next question comes from the line of Kevin McCarthy - Bank of America, Merrill Lynch. 
Kevin McCarthy - Bank of America, Merrill Lynch: I wonder if you could comment on the macro assumption including existing home sales and starts that are embedded in your earnings guidance of $4.05 to $4.45 and whether your internal view is materially different from consensus of economists out there? 
Sean Hennessy : We are not great economic forecasters so we rely on kind of the consensus of economists. There is a pretty broad range of assumptions out there right now especially in the new construction markets. We think what makes sense to us would be total residential starts and completions to be up in the mid teens for full-year 2010 and probably with growing momentum over the course of the year so a lot of that volume would be second half loaded. In the non-residential arena the square footage decline we experienced in 2009 for the industry was in the mid 40% range. We think the rate of decline should moderate somewhat during 2010 but we think it is still likely to finish the year down mid to high teens in square footage. We are late cycle on those projects so we are probably still going to face pretty stiff headwinds in the non-residential arena. We think existing home turnover will run perhaps not quite as strong as it did at the end of 2009 but we would expect it on a full-year basis to be up over 2009 in terms of total transactions. We also would love to see the percentage of total transactions being foreclosure and distress sale related decline although it has been stubbornly in that 30% range, 30 plus percent range. As we have indicated in the past, those kinds of transactions don’t benefit us as immediately as an owner occupant selling to a new owner occupant. So we are rooting for the tax credit for both the first time buyer and the step up buyers to push volume early in the year. 
Kevin McCarthy - Bank of America, Merrill Lynch: I wonder if you could comment on your outlook for your international markets in 2010? Maybe comment on any strategic opportunities you see there looking out over the next few years. 
Christopher Connor : I think as Bob commented earlier, the guidance for the year with sales revenues up in the low to mid single digits would include pretty consistent performance across all segments including that global segment. We are seeing some improving economies in the parts of the world that we generate revenue and particularly Latin America. There is still economic strife in these areas relative to new construction, etc. For the most part we think they are going to be a contributor this year. In terms of opportunities going forward we have been inquisitive outside of the United States the last couple of years. We have added a couple of strategic platforms. There are some opportunities out there that remain and time will tell whether we are able to get any of those in. 
Operator: The next question comes from the line of Don Carson - UBS Investment Bank. 
Don Carson - UBS Investment Bank : If you put all your macro assumptions together two things; one, what is your sort of final call on architectural shipments in the US for 2009 and where would you see it going in 2010? 
Robert Wells : 2009 through the first three quarters the market in architectural was down in the mid 13% range. It improved steadily over the course of the year. Third quarter was the strongest quarter so far. We haven’t seen fourth quarter data. Our expectation is the rate of decline probably moderated a little more in the fourth quarter. We think that is a positive trend for 2010. Just based on all the inputs and particularly what we would assume to be better vitality in the repaint markets we would expect architectural shipments to be up in 2010. 
Don Carson - UBS Investment Bank : So you think it was down maybe 10% at the end of the day for full year 2009? 
Robert Wells : Probably more than that. Fourth quarter is a small quarter so we were down 13.5%. 
Don Carson - UBS Investment Bank : So maybe what a slight mid single digit bounce in 2010? 
Robert Wells : I think that is reasonable. Low to mid. 
Don Carson - UBS Investment Bank : A question on the Consumer Group and the manufacturing side. Did you take significant fixed cost absorption in the fourth quarter? Is that why the results were so low? I know in 2009 you were very cautious in building inventories for paint, are you showing similar caution this year?
Robert Wells : I think when you see the way our inventories dropped in the fourth quarter you are absolutely right. If you take a look at the absorption we had in the fourth quarter it did negatively affect how the Consumer segment reported on the income. On the flip side I would tell you that with the inventory at this level we feel that the inventory build should look very normal as it has for prior to two years ago. I think you will see our inventory build in the first quarter for the season. 
Operator: The next question comes from the line of Eric Bouchard - Cleveland Research Company. 
Eric Bouchard - Cleveland Research Company : First of all, on gross margin I think you commented that the input basket you expected for the industry to be up mid single digits for 2010. Where did that end up do you think in 2009? 
Robert Wells : It was down slightly in 2009. This is for the industry. Probably down slightly in 2009. 
Eric Bouchard - Cleveland Research Company : Tied onto that, the gross margin expanded to I think maybe an all-time peak in 2009 and punctuated by the fourth quarter which has got to be an all time peak for the business. What is the expectation for gross margin in 2010 with input costs for the industry up in the mid single digit range? 
Sean Hennessy : You are absolutely right. Gross margin for the fourth quarter as well as the year is our all-time peak. When we take a look at our guidance for next year we really aren’t going to go down the list of SG&A or margin at this time. We are just not prepared to go through each and every line on the P&L as far as guidance. As the year becomes clearer and we get through a quarter or two as has been our practice I think the last couple of years at the end of the second quarter we give some kind of guidance for the year for the margins so I think that is when you will see us give a little more guidance on the margin for the year. 
Eric Bouchard - Cleveland Research Company : I guess when I hear that inputs are up five and pricing I think you indicated earlier on the call for the year you indicated flat to up slightly, is there some other opportunity to augment gross margin in light of what those appear to be? 
Christopher Connor : I want to be careful about the pricing comment. I don’t think we gave a comment that it would be up flat or up slightly. We commented on the industrial products we have taken some pricing out and we have not made any announcements on architectural at this point in time. To your second part of the question there are all kinds of levers the company has at its disposal to try and work on that. Don’t forget that last year was an aggressive right-sizing time for the company and then manufacturing facilities were permanently closed and disposed of and channels have moved into more efficient facilities. So that could potentially have a positive impact on margins as well. I think Sean’s got the right approach here. Let’s see how the year starts to unfold. We will give more color on that in the second quarter call and given our history and the importance we pay on margins I think you can expect we will be paying close attention to that number as the year begins. 
Eric Bouchard - Cleveland Research Company : Related to margin, I think you commented coming out of 3Q that 90% of the SG&A is that going to [fix] I know you have taken a lot of the SG&A out and I know you did some things in the organization in 2009 to tighten down on SG&A in light of the revenue pressure you saw. As you look at a year where revenues are beginning to grow in 2010 and I know again on the income statement but should we expect…how should we think about SG&A and how do you think about strategically about the need to invest back in SG&A as the industry starts to grow again? 
Sean Hennessy : I think what happens is you are absolutely right. Clearly we started in early 2008 to really attack the right sizing the company. You saw our SG&A was down close to $110 million, down $62 million in the first half of the year, 14 and that is really what my 90% comment is. We have been anniversarying these cuts and these changes that we have made over the last two years. We are at a point where we have anniversaried a great deal of them. I will tell you as the volume comes back we think we really still have nice room for margin expansion just like we did between 2002 and 2007. But when you take a look at the SG&A it will grow because as we bring back people to make sure we have good customer service for our customers it will increase the SG&A as the volume increases. 
Eric Bouchard - Cleveland Research Company : The revenue in the first quarter guided flat to slightly down and the full year revenue guidance implies kind of a material improvement 2Q to 4Q. I know those are the bigger quarters and 1Q is less important. Can you talk about the visibility or confidence you have on the incremental revenue performance 2Q to 4Q relative to 1Q?
Christopher Connor : I think some of the things we are commenting on that we expect to be slightly better in the year including new residential construction and turnover we are seeing permit activity as we meet with our largest homebuilder customers and get a sense of their plans for the year and their confidence. Those things are all pointing to a positive lift in that part of the business. Bob commented a little bit on the resale activity and what we think is likely to happen there too. We think this is a year we will start to come off the bottom in some of these segments and that will support the guidance we have provided. 
Operator: The next question comes from the line of Ivy Zelman - Zelman & Associates. 
Ivy Zelman - Zelman & Associates : I guess there is not that much more to ask with respect to the macro. You have covered a lot of it but with respect to understanding the levers going forward, I think you have outlined where you are concerned on commercial real estate. One of the things you have talked about a little bit in the past is sort of understanding what CapEx dollars your customers or those that are spending today. Have you seen any change in willingness to go above the fair minimum and is it possible there could be some surprises maybe where the guidance you would say is marginally too conservative if you have looking at the levers? 
Christopher Connor : That is a lot of prospective thinking. Let me just share with you the way we think about that. Clearly this year as reports have come out we have seen CapEx numbers for many of these commercial type applications cut back just as we have at our company and that does have an impact on maintenance. Companies have done a nice job with cash across the United States so to the extent they would feel a little better about getting back on some of their CapEx spending next year that is a possibility. We are more focused, however, on the fact these assets do need to be maintained over time and failure to coat corrosive environment to protect steel and concrete eventually ends up being a much bigger ticket than repairing with paint. We are aware that many of these projects and customers have extended already what we think a normal cycle will be. It is very consistent to the 2001 and 2002 time period where this business segment went through a similar process. There may be a little more of a tail to it but at some point in time we think this will come back. I think back to Eric’s point about the second half guidance is a little strong in the first half. That should start to play [a role]. 
Ivy Zelman - Zelman & Associates : Quickly on the opportunities. We have asked this before but foreclosures, lots of investors buying them and we have yet to see a benefit. Certainly we would expect that paint would be a product they would use to try and get them sellable or rentable. Anything you can help us understand? Is that a trend that is going to benefit you that you are seeing yet? 
Robert Wells : I think eventually yes. I think the investors that are buying those homes are certainly not doing so with the expectation of being landlords long-term. When the markets recover and when we start seeing home values move back up I believe a large percentage of them are going to flip those properties for profit. At that point in time when they are really investing in premium upgrades for the properties we should see a benefit. In the meantime in many of these markets they are parking these homes on the rental market and putting minimal cash investment in them. A lot of the pros that are working on these properties are not only doing paint work and paint maintenance work but they are replacing floor covering and doing minimal electrical and plumbing upgrades or bringing them up to code in those regard. Maybe a little landscaping. These are primarily remodelers and handymen that are buying their supplies at one-stop outlets. We think some of the relative strength we have seen behind the homesteaders has been a reflection of that type of investment in these foreclosed properties. 
Operator: The next question comes from the line of Saul Ludwig - KeyBanc Capital Markets. 
Saul Ludwig - KeyBanc Capital Markets : The foreign subsidiary that you dissolved, could you talk a little bit more about what that was and did that entity have an operating loss in 2009 that goes away in 2010? 
Christopher Connor : Let me cover the business side of it and I will let Sean comment a little bit on the second part of your question. This was an automotive, aftermarket company that was operating in Italy. As we commented in the call we have dissolved that business unit. There are segments of that business that we will continue to hang onto and service other assets we have in the region. 
Sean Hennessy : When you take a look at the operations, it did have an operating loss but it is not material. When we take a look at what is going to happen we will have some improvement there next year but not as great as the write off because of the amount we had on our balance sheet. 
Saul Ludwig - KeyBanc Capital Markets : The impairment of trademarks and goodwill seems to be a recurring theme each year. Are some additional write offs baked into your guidance? 
Sean Hennessy : I think when you look at our guidance each and every year what these impairments are as it relates to different assets, you are valuating your balance sheet and making sure your balance sheet is stated correctly. When you are doing acquisitions and you are putting goodwill on there impairment is the only way to take some of this goodwill off your balance sheet when the amortization has gone away. So in each and every year we have some room in our guidance between the $4.05 and $4.45 for some impairments. 
Saul Ludwig - KeyBanc Capital Markets : While you are there, what was the…you had a decrease in SG&A in the fourth quarter. What was the decrease in SG&A in the three segments if you provide that in your 10-K?
Sean Hennessy : In admin, SG&A was down 17. In the Global SG&A was actually up 2. SG&A was up 8 in Consumer. In stores group it was down 17. 
Saul Ludwig - KeyBanc Capital Markets : What are you thinking about your debt at the end of this year? 
Sean Hennessy : I think we are going to be relatively flat. I think when you look at the cash separation I think at the end of 2010 right now we are going to be in that $800-850 million range. With the cash generation we are going to, as Bob commented, CapEx we believe we have at $100-115 million. We think the dividend will be approximately $160 million and we don’t think that will change. We will have acquisitions and we will also do some stock buyback if there is no acquisition. 
Saul Ludwig - KeyBanc Capital Markets : So we are looking at the funds given the 850 cash from operations and then the dividend and cash spending you are going to keep your cash in this $50 million range and debt flat and the delta will be what is available for share buybacks and acquisitions? 
Sean Hennessy : Yes. 
Operator: The next question comes from the line of John Roberts - Buckingham Research. 
John Roberts - Buckingham Research: What is the stores outlook for 2010 in terms of new stores? Do you have any statistics on total industry stores? I assume total industry must be down in terms of store count. 
Christopher Connor : Our store count for next year would be a net increase of around 20-30 in Canada, US and Caribbean group the stores is responsible for that geography. That will be made up of fewer store closings than we have experienced the last couple of years. We are nearing the end of this redundant process we have been on to try and get out some of the recent acquisitions that are in the very, very close proximity to existing Sherwin stores. We are slowing down the gross new store openings. Far fewer closings. That will bring us in at that 20-30 net. Our sense is that there is somewhere in the neighborhood of some 50,000 plus locations that sell paint in the United States. The independent paint store, or company-owned paint store channel is somewhere between 10,000 and 12,000 locations prior to the downturn we have gone through in the last year and a half. We don’t have good numbers on that at this point in time to share with you but I think your expectations are probably accurate. We have seen quite a number of primarily the smaller, what we would call the mom and pops, struggle to make it through. We have always said 4,000 stores is our next mile marker. We think geography currently supports that. That won’t be a net addition but rather number of these other facilities will have to go out to keep that kind of 10,000 to 12,000 location constant. So we don’t have a hard number for you but I think your logic is right on track. 
Operator: The next question comes from the line of Chuck Cerankosky – Northcoast Research Group. 
Chuck Cerankosky – Northcoast Research Group: A follow-up question on the dissolution charge. I am thinking a certain amount of that was cash. Can you give us some details on that? 
Sean Hennessy : One of the things about the cash, because of our tax rate our tax rate came in at 30% for the year. Without this dissolution it would have been 31.5%. So we did get some tax goodness. When you take a look at cash it was almost cash positive for us. 
Chuck Cerankosky – Northcoast Research Group: Within your guidance, what kind of benefit or penalty do you expect from foreign exchange? 
Sean Hennessy : Right now the foreign exchange when you take a look at the different countries we are in, it is a combination but in total I would say it is going to be slightly positive. Not much. 
Chuck Cerankosky – Northcoast Research Group: Can you comment on within the operations in 2009 how Brazil performed and what you might be willing to say in 2010? 
Christopher Connor : Brazil was the star of our international operations in 2008. It went through a similar economic slowdown in 2009 characterized by significant slowdowns in commercial and new construction and maintenance of existing properties. It has been a little bit of a swing for us in that part of the world. 2010 as we sit here now it looks like it is going to be an okay year for us. It is included in that guidance we gave that our Global Group would be up in that low to mid single digit range. Brazil is our largest country outside of the North American countries so that plays a big role in that guidance. 
Chuck Cerankosky – Northcoast Research Group: A comment on what you think your same store sales in terms of market share growth in a tough year last year in a declining market? 
Christopher Connor : I think the short answer is that we probably lost a little bit of share mostly related to the fact there was a significant shift from the contractor towards the DIY as we saw throughout the year. More importantly, as we measure the share performance again in very specific segments and as you know we break the contractor segments out into new residential construction, residential repaint and property management and I would say pretty much across the board our confidence is fairly high we gained share in each of those segments but given the fact those segments were down 35-40% with the industry being down 13% as Bob commented on that is a tough battle to hold yourself into to gain share overall. A little bit of a share loss against the total industry, strengthening of share against the key segments and when they rebound we think the company will come back fine. 
Operator: The next question comes from the line of Analyst for Gregory Melich - Morgan Stanley. 
Analyst for Gregory Melich - Morgan Stanley: Do you have guidance on the pension expense in 2010? I think in 2009 you originally said it would be $55-60. 
Sean Hennessy : I think with the difference is going to be there is going to be accretive of around $14-16 million in the pension expense. 
Analyst for Gregory Melich - Morgan Stanley: The second one, on the Consumer Group as I look at the trend here from the third quarter to the fourth quarter you had about a 500 basis point improvement and then you sell private label paint falls into that. That is a lot of hardware stores. If I were to bifurcate that Consumer Group and look at the hardware store group which I would imagine would look more like your Paint Stores Group in terms of volume declines that would probably mean the other channels you sell through, the home channel would probably be slightly positive. Is that an accurate way to think about that? 
Christopher Connor : That is pretty close. 
Operator: The next question comes from the line of Jay McCandless – FTN Equity. 
Jay McCandless – FTN Equity : I wanted to ask a gross margin question a different way. The 120 basis point expansion from last year to this quarter is that a function of better capacity utilization in your factories or is that specific input into the cost of goods sold going down here every year? 
Sean Hennessy : I would say because when you see the production the volume did not help us at all on the costs. It probably had more to do with the input costs. 
Jay McCandless – FTN Equity : What is there going to be any more effect on the tax rate in 2010 from the dissolution of the foreign sub? 
Sean Hennessy : No that is completed in calendar year 2009. So we are seeing our tax rate will be back in the more normal range in the low 30’s. 
Jay McCandless – FTN Equity : On the macro, are your expectations with the credits, the move up in the entry level credit that those end as scheduled on June 30th with the closing date for those credits? Is your expectation that those end then or they get extended through the rest of the year? 
Christopher Connor : I don’t have a clue. I think there will be a fair amount of pressure on the administration and Congress to extend them. Whether they will move in that direction or not I don’t know. We do expect that either way there will be a similar effect as we saw in late 2009 and that is you will see a lot of transactions bunched up in March and April or closing and if they do extend it you are probably going to see a burst of transactions follow that because they will say we have more time and we are going to take our time. Kind of like you saw in November/December. 
Operator: The next question comes from the line of Dmitry Silversteyn - Longbow Research. 
Dmitry Silversteyn - Longbow Research: The profitability of the Global Group. We have seen the decline. Obviously there was a restructuring and dissolution cost there. How do you think about margins in the global group in 2010 and is it likely to be influenced by volume coming back, by foreign exchange or by raw material costs? 
Christopher Connor : I would tell you expect our margins to improve in the Global Group. I think that the way you listed them are the ways we would expect. Number one, we would expect volume. Two would be the currency. When it comes to the raw, that is definitely third or fourth on the list. 
Dmitry Silversteyn - Longbow Research: Just to get a bit better understanding of the raw material environment, are the Latin American raw material costs basically moving in line with North America or is there some lag? As we look for these costs to start turning around in the US can we make assumptions the same thing is happening in Latin America? 
Sean Hennessy : What we are seeing is globally they are moving not in lock step but in the same directionally. The interesting thing on the global side what will happen especially with the currencies are getting stronger, a lot of times what will happen in local currency a lot of these raw materials are being priced in US dollars. So as the US dollar comparatively gets weaker it takes a little bit more Brazilian Reals to buy the same even thought the US dollar on the currency rate is going in the positive direction for sales. So when you take a look at it, it does go in unison but there is a little bit of translational problem there when we are seeing the currencies get stronger. 
Dmitry Silversteyn - Longbow Research: On the contractor market or specifically the commercial construction market as it relates to paint sales in the US. Am I correct in remembering that the commercial is about 30% of the total market and residential is the other 70%? 
Christopher Connor : You are in the range. 
Dmitry Silversteyn - Longbow Research: You expect that market which is predominately contractor to continue to be down for 2010? That is also what you said at the beginning of the call, right? 
Christopher Connor : Certainly those related to new construction. When you talk about commercial contractors representing 30% of the market that is repaint and new. So the portion of those that are engaged in new construction yes but there is also a commercial segment that is repaint and we sometimes call it property maintenance but it is painting commercial structures, repainting commercial structures. That will not be down as much as the new construction segment. 
Dmitry Silversteyn - Longbow Research: You kind of got ahead of me on my question. My question was I understand the dynamic of new commercial being down in 2010 but I would have thought sometime this year you are going to see swinging into the positive on comparisons of existing repaint. Is that your view as well? 
Christopher Connor : I think that was the comment we made on one of the earlier callers relative to the fact a lot of this paint is done for maintenance work to the extent that companies or owners of properties are compelled to maintain them. We would expect to see a little lift there. That is included in the guidance we have given that we are going to see that segment up in the mid single digit range by year-end. 
Dmitry Silversteyn - Longbow Research: For us to kind of monitor the market or some kind of an indicator that will tell us how the market is doing is commercial vacancy rates the right number to look at or is there a better bogey? 
Robert Wells : Vacancy rates is one indicator. Certainly maintenance CapEx spending would be an indicator as well. In retail and office space and apartment buildings vacancy rates would be an indicator. 
Operator: There are no further questions at this time. At this time I would like to hand the floor back over to management for any closing comments. 
Christopher Connor : Let me conclude this morning by asking you to save the date on your calendar of Thursday, May 6, 2010. That is the day we will host our Annual Financial Community Presentation at our Company headquarters in Cleveland. The program will consist of our customary morning presentation with Q&A with management followed by a reception and lunch. After lunch we will schedule tours of our Green Technology Center. Again that date is Thursday, May 6t. We will be sending our invitations and related information in the weeks ahead. Thanks again for joining us today. Thank you as always for your continued interest in Sherwin-Williams. 
Operator: This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.